Operator: Good afternoon ladies and gentlemen, and welcome to the Q4 2019 NiSource Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder this conference call is being recorded. I would now like to turn the conference over to your host, Mr. Randy Hulen, Vice President of Investor Relations and Treasurer. Please go ahead.
Randy Hulen: Thank you, [Detamora] (Ph), and good morning, everyone and welcome to the NiSource fourth quarter 2019 investor call. Joining me today are Joe Hamrock, Chief Executive Officer; and Donald Brown, Chief Financial Officer. The purpose of this presentation is to review NiSource's financial performance for the fourth quarter and full-year 2019 as well as provide an update on our operations, growth drivers and financing plans. Following our prepared remarks, we will open the call to your questions. Slides for today's call are available on nisource.com. Before turning the floor over to Joe and Donald, just a quick reminder, some of the statements made during this presentation will be Forward-Looking. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the statements. Information concerning such risks and uncertainties is included in the MD&A and Risk Factors sections of our periodic SEC filings. Additionally, some of the statements made on this recording relate to non-GAAP measures. For additional information on the most directly comparable GAAP measure and a reconciliation of these measures, please refer to the supplemental slides and segment information, including our full financial schedules available at nisource.com. With all that out of the way, I would like to turn the call over to Joe.
Joseph Hamrock: Thanks, Randy. Good morning, everyone, and thank you for joining us. Before I discuss our fourth quarter and full-year results, I would like to take a few minutes to speak to the announcements made yesterday that we have reached a plea agreement with the United States Attorney for the district of Massachusetts intended to resolve the criminal investigations and entered into a definitive agreement to sell our Columbia Gas of Massachusetts business to Eversource. In addition to agreeing to pursue the sale of the Columbia Gas of Massachusetts assets. We have also agreed to pay a $53 million criminal fine. Following a thorough evaluation by the board and management team we believe this sale to Eversource is in the best interests of all of our stakeholders, including shareholders. Through this process, it was paramount to us that we find a partner for Columbia Gas of Massachusetts who will create the right next chapter for not only Columbia Gas of Massachusetts business, but for the customers and communities. It serves as well as its dedicated employees. We believe Eversource is that right partner as new England's largest energy delivery company serving approximately four million electricity, natural gas and water customers in Connecticut, Massachusetts, and New Hampshire. They have tremendous familiarity with the region. In addition, they have a proven track record of investing in infrastructure, employees, and operations to enhance system reliability and safety. Correspondingly, our focus across NiSource is on enhancing safety service and system reliability through implementation of our safety management system, infrastructure modernization, and advanced workforce training programs. The transaction is supportive of those priorities for all of our stakeholders. Yesterday's announcement is just the first step for this transaction and we look forward to working closely with Eversource to ensure a smooth transitions. Throughout the approval and transition process we will remain focused on customer service and enhancements in all areas of operations.  Now turning to our results for the quarter and the year as we look back at 2019 it was a year in which our team's performance demonstrated the resiliency of the NiSource business plans. Our employees remained rubble, relentlessly focused on safety and customer satisfaction, starting with the accelerated implementation of our safety management system as well as advancing our electric generation strategy in Indiana and executing on nearly one point $9 billion in capital investments centered on infrastructure and safety in our gas and electric systems.  We also delivered non-GAAP net operating earnings per share of a $32 near the top of our guidance range for the year while maintaining our current investment grade credit ratings and executing on our regulatory plans.  Turning now to Slide 3, you can see some of our key accomplishments in 2019. Our SMS implementation and other systems safety enhancements were and remain our top priority. In 2019 we stood up an independent quality review board to oversee our progress and named a Chief Safety Officer reporting directly to me. In addition, we integrated the functions of safety, compliance, and risk and increased staffing and capabilities across our gas segments. We introduced a Corrective Action Program or CAP to identify, track and prioritize risks, and we installed more than 1000 automatic shutoff devices on low pressure gas systems across our footprint. As I mentioned earlier, we delivered non-GAAP net operating earnings per share of a $32 near the top of our 2019 guidance range. Due to the expectation of closing the Columbia Gas of Massachusetts transaction this year, we are withdrawing our 2020 net operating earnings per share guidance of a $36 to a $40 however, we continue to expect to make capital investments of $1.8 to $1.9 billion in 2020. We also expect the transaction will enable NiSource to eliminate its previously planned 2020 block equity issuance. The long-term growth opportunity for the remaining operating companies is unchanged. As a result, following the completion of the transactions the company expects to initiate 2021 net operating earnings per share guidance and establish a 5% to 7% long-term growth rates for both net operating earnings per share and dividends with 2021 as the base year. This new long-term guidance is expected to be extended beyond 2022 to include significant investments related to the Company’s electric generation strategy. Reflecting on 2019 NiSource achieved a number of key milestones. In our electric business we reached commercial agreements on multiple wind projects completed a second round of requests for proposals for replacement generation capacity for our retiring coal plant and completed our coal combustion residuals capital investments. We made approximately $1.9 billion of capital investments in our gas and electric utilities, primarily focused on safety improvements and infrastructure modernization.  We executed on our regulatory initiatives including approvals of our electric-base rate cases in Indiana and our gas base rate case in Maryland and Virginia. In the Merrimack Valley, we substantially completed the restoration following the September 2018 event, including the settlement of all the major customer claims, and finishing substantially all service line verifications. And we added about 28,000 net new gas customers across the Company’s driven by healthy new constructions and conversion markets.  Now, I would like to turn the call over to Donald who will discuss our financial performance in more detail. 
Donald Brown: Thanks, Joe. And good morning everyone. Looking at our 2019 results on Slide 4, we had a non-GAAP net operating earnings of about $495 million or $1.32 per share, compared to net operating earning about $463 million, or $1.30 per share in 2018. The biggest drivers of our 2019 non-GAAP financial performance compared to 2018 were higher net revenue due to the impact of our long-term infrastructure modernization investments, which were offset by increased safety related spending and higher financing costs due largely to the greater Lawrence incident.  Now turning the Slide 5, I would like to briefly touch on our debt and credit profile. Our debt level as of December 31was about $9.6 billion of which about $7.7 billion was long-term debt. The weighted average maturity on our long-term debt was approximately 17 years, and weighted average interest rate is approximately 4.4%.  At the end of the fourth quarter, we maintain net available liquidity of about $1.4 billion consisting of cash and available capacity under a credit facility and our accounts receivable securitization program. Our credit rating from all three major rating agencies are investment grade, and we are committed to maintaining our current investment grade rating.  I would now like to turn to Slide 6, which covers our financing plan for long-term growth investments. The agreement for purchase price of $1.1 billion in cash subject to adjustment based on Columbia Gas, Massachusetts net working capital as of the closing, the purchase price represents a loss compared to the book value of Columbia Gas in Massachusetts. As a result of the asset sale transaction, we no longer expect to pursue our previously plan 2020 block equity issue. Our current plan which is focused on providing funding for ongoing safety and infrastructure investment programs as approximately $500 million of long-term debt in 2020 and continues to include annual equity in the range of $200 million to $300 million from our aftermarket or ATM equity issuance programs as well as $35 million $60 million from our employee stock purchase and other programs.  As Joe mentioned. Due to the timing of this transaction, we are withdrawing our 2020 non-GAAP net operating earnings per share guidance of a $36 to a $40 however, we continue to expect to make capital investments at $1.8 billion to $9 billion in 2020. Following the completion of the transaction, we expect to initiate 2021 net operating earnings per share guidance and establish a 5% to 7% long-term growth rate for both net operating earnings per share and dividends with 2021 at the base year.  Speaker 0 01:37 Just new long-term growth rate is also expected to be extended beyond 2022 to include significant investments related to the Company’s electric generation strategies. As we worked through the impact of the sale like factoring in the elimination of the block equity dilution, the loss of CMA earnings, and the expected synergies we believe that at a minimum, the 2021 baseline is expected to be at or above our withdrawn 2020 guidance. Now, I will turn the call back to Joe for a few infrastructure investment and regulatory highlights. 
Joseph Hamrock: Thank you Donald. Now let's turn to some specific highlights for the fourth quarter and early first quarter of 2020 from our gas operations on Slide 7. In Maryland, our base rate case request was approved by the public service commission and new rates went into effect in December. The order supports continued replacement of aging pipelines and adoption of pipeline safety upgrades.  Columbia Gas of Kentucky received an order in December from the public service commission in its annual accelerated main replacement program rider adjustments case. The commission approved a modification to the AMRP to expand its scope to cover capital investments including safety enhancements to low pressure systems and other risk-based investments identified under our SMS programs. As part of the order, the program was renamed the safety modification and replacement program or S. M. R. P. We filed an application in December with the Indiana utility regulatory commission for a six year extension of our long-term gas infrastructure modernization programs.  The proposal includes nearly $950 million in capital investments through 2025 to be recovered through semi-annual adjustments to the existing transmission distribution and storage improvement charge or T disk tracker. The existing gas T-TESS program has been in place since 2014 and IURC order is expected in July, 2020.  Now let's turn to our electric operations on Slide 8. Our team is reviewing the results of our latest request for proposals to consider potential resources to meet the future electric needs of our customers. Consistent with NIPSCO's 2018 Integrated Resource plans, the RFP sought to identify replacement sources for our coal capacities, which will be 100% retired by 2028to be replaced by lower costs reliable and cleaner options. The plan is expected to drive a 90% reduction in our greenhouse gas emissions by 2030. And to save our electric customers more than $4 billion over the long-term. We considered all sources in the RFP process which closed in November, and we are currently in early discussions with a number of commercial bidders who responded to the RFP. Progress continues on the active wind project we proposed in 2019. On December 19, the Federal editor Energy Regulatory Commission approved our Section 203 and Section 205 applications for Rosewater, a 100 megawatt joint venture between NIPSCO and EDP Renewable. The IURC had previously approved the joint venture and ownership agreement for Rosewater, as well as a power purchase agreement applications for Jordan Creek. Construction is underway on both Rosewater and Jordan Creek which are expected to be in service by the end of this year. NIPSCO has notified the IURC of its intention to not move forward with a Roaming Bison project due to local zoning restrictions. Last week, the IURC approved our application for an additional wind project Indiana crossroads, another joint venture with EDP Renewables. Indiana Crossroads will have an aggregate nameplate capacity of 302 megawatts and is expected to be an operation in the fourth quarter of 2021.In December, we received an order from the IURC and our electric face rate case, with new rates effective in January 2020. The order approved a partial settlement agreement filed in April 2019that addresses the revenue requirements, federal tax reform and changes to our depreciation schedules related to the early retirements of coal fired generation as submitted in the IRP.  The order established a return on equity of 9.75%, reflecting a reduced business risk profile, and positions NIPSCO to successfully execute on his generation strategies, which benefits its customers. We continue to execute on our 7-year electric infrastructure modernization program, which includes enhancements to our electric transmission and distribution systems designed to further improve systems safety and reliability. The program originally approved by the IURC in 2016 includes approximately $1.2 billion of electric infrastructure investments expected to be made through 2022. Our latest tracker update request covering $131.1 million in incremental capital investments, made from December 2018 through June 2019 was approved by the IURC on December 18, 2019, with rates effective in January 2020. Turning now to Slide 9, I will focus on our system wide safety enhancements. Safety is and will remain the foundation of everything we do across our business. We are resolved to lead in safety and exceed industry standards, anchored by three pillars of culture where everyone is empowered to identify and report risk, process safety that adds layers of protections and enhanced asset risk and analytics. A safety management system or SMS is a comprehensive approach to managing safety, emphasizing continual assessment and improvements as well as proactively identifying and mitigating potential risks. We made great progress on our SMS implementation in 2019 and it remains our top priority in 2020. Nearly 90% of our gas segment employees were trained in SMS in 2019 and the remainder will be trained this year. Gas segment employees and contractors have embraced the cap tool which offers a simple way for employees and contractors to report safety concerns and supports our systematic process to review, prioritize, and track progress to reduce risk. In 2019 we worked closely with the national transportation safety board, which concluded its investigation into the greater Lawrence event. We finished implementing the board's urgent safety recommendations and NTSB deemed our responses as acceptable. In conjunction with its final report NTSB issued a recommendation around enhancing our emergency preparedness and response capabilities. We have implemented an incident command structure or ICS aligned with federal emergency management agency standards and provided ICS training to nearly all night source employees. Before we turn to the Q&A a portion of the call, I will share and reiterate a few key takeaways. As noted with the expected closing of the Columbia Gas of Massachusetts transaction this year, we are withdrawing our 2020 net operating earnings per share guidance of a $36 to $40. We continue to expect to make capital investments of $1.8 to $1.9 billion in 2020 and we remain committed to our current investment grade credit ratings. We expect the transaction will enable NiSource to eliminate its previously planned 2020 block equity issuance. Following the completion of the transaction, we expect to initiate 2021 net operating earnings per share guidance and establish a 5% to 7% long-term growth rates for both net operating earnings per share and dividend with 2021 as the base year. As Donald mentioned, we believe that at a minimum the 2021 baseline is expected to be at or above our withdrawn 2020 guidance. Our electric generation strategy is advancing with our base rate, case approved wind project construction underway and the second RFP completed to identify additional sources to replace our coal capacity. We have substantially completed our service line verification work in the Merrimack Valley and we are cooperating fully with the Massachusetts department of public utilities as it reviews the cause of September, 2018 Merrimack Valley event, and our emergency response.  Through the close of the transaction NiSource source will remain focused on customer service and enhancements in all areas of operations. Thank you all for participating today and for your ongoing interest in and support of NiSource. We are now ready to take your questions. Detamora.
Operator: [Operator Instructions] Your first response is from Shar Pourreza a Guggenheim Partners. Go ahead. 
Shar Pourreza: Just a couple of questions here. Can we just talk directionally about the earnings impact from the sale of Columbia Gas and Massachusetts. So like you expecting any kind of dilution versus your prior 2020guide? Is there any opportunities to mitigate? Obviously, you have eliminated a very large equity slug in 2020.
Joseph Hamrock: Thanks Shar. So we think there are opportunities to mitigate that. We are starting to work on that plan. But as I stated, when you look at a loss of the earnings, although Massachusetts CMA was not earning its allowed return on its rate base. But we do move that impacts of those earnings. We will have some dis-synergies and we will start working on a plan there to offset and mitigate some of those dis-synergies. But, as we stated and you have as well, we will not need to issue that equity which was help to minimize solution. We will go out to the rating agencies this spring, and show them our plan and talk about the financing plan going forward. And so I think we will need a few quarters or so to really to develop this plan, get closer to a transaction close. And understanding the timing of that, as well as just the transition. Looking at have closed by the end of the third quarter. But we also expect that there is going to be a transition of up to a couple years to transition the business over to Eversource. And so we need to take all of those items into account. Having said that, we are confident that at a minimum will be at or above this year's guidance, but certainly see the opportunity to do better. And it is in our interest to do better as you would expect.
Shar Pourreza: Right. And then how should we sort of think about sort of the ongoing equity beyond? Especially these were lingering CapEx around Indiana Generation et cetera. So like, do you see any scenarios mainly what I'm trying to get at is, if there is any scenarios where there could be future block equity beyond sort of the ATMs and internal programs maybe to fund, “significant investments” you kind of mentioned in your prepared remarks, or do you sort of think your ongoing internal programs at ATM is sufficient to fund what appears to be a pretty healthy CapEx program?
Joseph Hamrock: Yes, I would say it is too early to say exactly what that financing program will be. That will be part of our discussions with the rating agency as well as the board this spring to talk about how to finance what the size of those investments are and how we finance that. Certainly the ATM program has been a very good program for us. But depending on the timing and size of those investments, the financing program will have to match up. And we expect that we will provide more details later in the year round that plan.
Shar Pourreza: Got it? Thanks, guys. I will jump back in the queue. Appreciate it.
Donald Brown: Thanks Shar.
Operator: And your next response is from Michael Weinstein of Credit Suisse.
Michael Weinstein: Hi, good morning.
Joseph Hamrock: Good morning.
Michael Weinstein: So when you say that you have an estimate the loss on the sale. Is there any goodwill recovery factored into your expected retention of proceeds?
Joseph Hamrock: So we had goodwill on the book that we wrote off as of 12-31, as well as there was an intangible asset on our books related to the safe state gas purchase by NiSource back in 1999 or 1998. Both of those amounts are written off. It is about $415 million write off that we did take a 1231 this year.
Michael Weinstein: Got you and just to follow-up on shores question, is there any corporate overhead retained, I mean, I know you are talking about the synergies going forward. Is there any quantification you can put on the corporate overhead?
Joseph Hamrock: Not at this point. I think what we are trying to do is develop a plan to help mitigate those synergies. Obviously you can't eliminate them all because we have lost, we will lose scale in our business, but what we are attempting to do is build a plan that offsets and mitigates that.
Michael Weinstein: Got you. And can you just briefly review the additional, I guess investigations that are still pending seeing that you are still liable for any liabilities that are in connection with the incident.
Joseph Hamrock: That is right. So if you look at the, there is still ongoing investigations in Massachusetts with the DPU that we are working with the DPU. Our hope and goal is to help those investigations resolved by the close of the transaction with Eversource. Got you, thank you very much.
Operator: Thank you. Your next response is from Julien Dumoulin-Smith of Bank of America. Please go ahead.
Julien Dumoulin-Smith: So let me come back to this if I can just in brief, when you think about the timing related issues on 2020 versus the full-year run rate on 2021, let's just focus on 2021 here. How do you think about the puts and takes here? Because without interjecting a specific earned, are we on the Massachusetts business directly? It would seem as if roughly excluding the synergies the equity would seem to offset the loss of earnings from the core business. That is my words. I just want to see how that reconciles with you. Just as we think about puts and takes off of the way this street and ourselves are already positioned on that.
Joseph Hamrock: Think about it. I don't know if there is exact offset, but it is pretty close.
Julien Dumoulin-Smith: Got it. So when you say limited, so if I can put this back to you, so if it is pretty close and I get it, there is some slight dis-intermediate or something. When you talk about 2021 being similar to 2020, was that the say that it was similar originally and that you are only now disposing it for the first time. Do you get what I'm saying?
Joseph Hamrock: No, I'm sorry. 
Julien Dumoulin-Smith: I apologize. Let me, let me try this again. So when you are talking about 2021 now, and you are saying that it will be a similar or above 2020, was that originally the case under the prior plan and or, is this transaction somehow actually resulting in a net negative to your 2021 estimates if it roughly nets out on 2021 to begin with?
Joseph Hamrock: Yes. So if you take the premise that you stated around the loss of the CMA earnings offset by the dilution, and then so both offset and then we have got some disengages from the loss of scale. There is a potential net negative from this transaction. And then that is, as I said, is part of what we are working through to develop a plan, and it is really too early to give specific guidance around 2021. But otherwise we would have expected to me, our 5% to 7% earnings per share and dividends per share growth guidance off of 2020.
Julien Dumoulin-Smith: Got it. Or if I may one more time, 2020 into 2021 would have otherwise achieve the five to seven. And the only delta that were at least publicly aware about today is the slight dis-synergy on the sale the business assuming there is a broadly netting of one versus the other.
Joseph Hamrock: That is correct.
Julien Dumoulin-Smith: Excellent. Thank you for clarifying. I will leave it there.
Operator: Thank you. Our next response is from Greg Gordon of Evercore ISI.
Greg Gordon: Hey guys, good morning. 
Joseph Hamrock: Good morning, Greg. 
Greg Gordon: I'm going to be in dead horse here. So please humor me, I apologize in advance. You guys based on the very articulate guidance your team has given the street have been earning very low equity return in Massachusetts. If we assume that the equity return was practically speaking sort of 50% of the authorized, and that is the net income that you are shedding when you sell the asset then it does make complete sense that foregoing the equity issuance would offset that dilution. But that just doesn't fit with you saying that your earnings in 2021 could potentially be at the guidance range for 2020 because if you then grow a 5% to 7% off of that, it implies 2022 is anywhere from $0.07 to $0.10 below where it otherwise would have been based on prior guidance when this just based on basic algebra should be a nick or less resolute. So you are implying that that this synergy to be fairly meaningful. And you have to understand pulling the guidance gives investors quite a bit of logic around what they are missing that may be problematic in the underlying business away from just to puts and takes in this transaction. So if you can, could you please articulate a little more detail how you are coming up with that notional at 2020 levels and 2021.
Joseph Hamrock: Greg, what other detail to give without giving you exact numbers that at this point we don't have we are working through those details. But again, we look at where we committed to for 2020net guidance, our plan all along 5% to 7% off of that. As you stated in Julian and think others, we are under earning in Massachusetts we lose that. That was that full run rate earning allowed return about 8% to 10% of our business not earning Matt. That dilutions does all said most of the impact of losing those earnings, but there is certainly the impact of the synergies that we have got. That will remain with the business that for the for the mouth that we can't mitigate for offset through other ways. And so it is for me, that is the simple math in terms of the growth and the opportunity to grow going forward. Because otherwise our operating companies are strong. They are earning their allowed returns. we are continuing to make the investments and that is actually why we didn't change our capital investments guidance. We continued to invest, in our program about one point $9 billion in that will continue going forward and ultimately that is what drives our earnings growth.
Greg Gordon: Okay. So we don't have to worry about there being some significant change in your assumptions with regard to the financial or operating profile of the rest of the business. I just wanted to be a hundred percent clear on that. It really is about what are you losing the offsetting benefit of not issuing the equity and whatever we think you the underlying disc synergy will be and we don't have to worry about anything else if we are trying to figure this out. Is that fair? 
Joseph Hamrock: That is very fair. Okay.
Operator: Thank you. Your next response is from Steve Fleischman of Wolf Research. Go ahead.
Steve Fleischman: Yes. Hi. I just wanted to clarify prior questions, cause a few of the questions said that you stated similar 2021 versus 2020, but if I heard you correctly, I thought you said a minimum of at or above the prior 2020 guide for 2021. So is that just clarify? Is that what you said and then also, yes. Is that correct?
Donald Brown: Correct. At a minimum 2020 guidance.
Charles Fishman: At or above that. 
Donald Brown: At or above.
Charles Fishman: Okay. And would you say being added would be a very conservative assumption.
Donald Brown: Well I don't want to start providing sensitivity around that. I would say that we are comfortable at that range for 2021, which is why we have given it. But at the same time we think there is ability to be above that range and have growth off of that 2020 range.
Charles Fishman: Okay. And then just in terms of looking forward, so you know this transaction will close and you will be kind of focused back to all the rest of the 93% of the company. And just is there any kind of, if we kind of focus on that 93%, is there any kind of community things to watch this year outside of just really the probably the big, the big event of where of is the RFP outcomes.  But is there any other kind of key things to watch in your space?
Joseph Hamrock: This is Joe. I think you hit the big more than the work we are doing with the generation replacement. The RFPs that are well underway, is the key item that will drive our longer term guidance, particularly beyond 2021. And we do expect to see more clarity on that quarter by quarter, probably as we step through this year. The other thing I would say is the important point, overarching and underpinning what Donald's been talking about is the resilience of the nicer, worse business plan. When you look at all the other States and the capital deployment there and the strong regulatory mechanisms we are in that sort of season of looking at the regulatory cycle rate cases, and that would be the space to watch as we go through the remainder of 2020 just the regulatory actions that we would expect to see a bill that will kind of set the stage for 2021 and beyond.
Operator: Thank you. Your next response is from Charles Fishman of Morningstar. Please go ahead.
Charles Fishman: If we could just move to CapEx for a minute, If I have the numbers, right, you have actually moved up the CapEx rays for 2020 $100 million. Is that correct I got that right.
Donald Brown: That is correct. That is correct. 
Charles Fishman: Okay. And then you pull 2021 and 2022 or at least you are going to wait a quarter. And then you will give us some guidance. But I would think, with the kind of long term programs you have with pipe replacements, and things, and the frameworks you have in place and actually probably Massachusetts was your weakest we should be confident that that $1.7 billion to $2 billion annual EBIT was the old guidance for 2021 and 2022. It is not going to be through different from that.
Joseph Hamrock: I agree. We work through our safety management program and start to look at investments across our system and how to prioritize those investments. We are confident that that overall CapEx guidance range is not going to change. Again, we will provide more clear guidance and direct guidance, probably around the third quarter of this year. But certainly we have resiliency and strength in our remaining states to continue this growth.
Charles Fishman: Okay. And then one sort of related investment question. A year ago I think are after the first round of RFP in Indiana, the big surprise was the cheap solar. And yet obviously, you are moving forward to wind. Is solar storming arising here getting out five years. You still see him as a viable option in Indiana. 
Donald Brown: Yes, Charles definitely. We see if you look at the current RFP and the team just did a public meetings, a virtual meeting on that and shared some of the indicative bid ranges around that and you can see from that that solar is very much in the hunt for the future portfolio here. Solar and storage, both.
Charles Fishman: And then related to that. I don't have in front of me, but the pull closings that you accelerated. That is still on-track.
Donald Brown: Yes, that is still on-track. And we had from the IURC the final approval, if you want to call it that of the directors report in the IRP that supports the overall plans, as well as the rate case outcome that accelerated depreciation of the existing coal fleets consistent with the early retirement. So we have seen all of the right regulatory support for the plan that we have put forward.
Charles Fishman: Got it. That is all I have. Thank you.
Joseph Hamrock: Thanks, Charles.
Operator: Thank you. [Operator Instructions] Your next response is from Andrew Levi of ExodusPoint. Please go ahead.
Andrew Levi: Hey, guys. How are you.
Joseph Hamrock: Hey good morning Andy, good.
Donald Brown: Hey Andy.
Andrew Levi: Obviously most of the questions have been asked and answered well. Just on the categories of things that you can mitigate, to help 2021 and beyond. Can you just give us like a very high level what categories are talking about?
Joseph Hamrock: As you think about it Andy, it is really our shared costs across our corporate services and customer services that we need to develop a plan to help offset those dis-synergy as that we have got. Operating across seven states both from the gas side, we have got some shared gas services as well as just our typical accounting finance IT corporate services, that we allocate the costs across to our seven operating companies.
Andrew Levi: So I guess it is more O&M related and I guess reallocating a portion of that to the other operating companies and getting it to flow through your trackers, I guess for the better way to put it. And then at the same time try to cut costs.
Joseph Hamrock: I think that is all of the above, both from a recovery from other States as well as continuing to find opportunities to be lower cost and more efficient.
Andrew Levi: And at the same time I guess be able to allocate, the CapEx that you had at base days was based eight years ago with a total I up into your other businesses, which you kind of have really begun to do it anyway. It is currently released today.
Joseph Hamrock: That is right. Yes. We will be looking at that as well at the opportunity to do that and have that capital go into those other States into their tracker programs.
Andrew Levi: Got it. Okay I understand it. Thank you very much.
Operator: Thank you. I’m showing, no further questions at this time. I would like you him the conference back over to Joe Hamrock, our CEO.
Joseph Hamrock: Thank you Detamora, and thank you all for joining us. In closing, I would like to reiterate that our deep focus on providing value for our customers and our shareholders through comprehensive investments and programs that drive safety and risk mitigation remains at the center of our focus. And we appreciate your support and ongoing interest in NiSource and we look forward to engaging with you in the weeks and months ahead. Have a safe day. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day. You may all disconnect.